Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter and Full Year 2024 Quanex Building Products Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker today, Scott Zuehlke, Senior Vice President, CFO, and Treasurer. Please go ahead.
Scott Zuehlke: Thanks for joining the call this morning. On the call with me today is George Wilson, our Chairman, President and CEO. This conference call will contain forward-looking statements and some discussion of non-GAAP measures. Forward-looking statements and guidance discussed on this call and in our earnings release are based on current expectations. Actual results or events may differ materially from such statements and guidance, and Quanex undertakes no obligation to update or revise any forward-looking statement to reflect new information or events. For a more detailed description of our forward-looking statement disclaimer and a reconciliation of non-GAAP measures to the most directly comparable GAAP measures, please see our earnings release issued yesterday and posted to our website. I'll now turn the call over to George for his prepared remarks.
George Wilson: Thanks, Scott, and good morning to everyone joining the call. I'll begin today's call with a brief strategic overview, followed by some commentary on the quarter and the broader macroenvironment. After that, I'll hand it back over to Scott, who will provide a more detailed financial discussion. As we close fiscal 2024 and reflect on the past year, I am incredibly proud of the progress we've made in executing our strategic plan. At the core of this plan has been the creation of a solid operational foundation that drives strong cash flow and will provide support for our organic and inorganic growth plans. Building this foundation takes time and significant effort and doesn't happen without the right culture. Looking back over the uncertain and challenging macroeconomic environment of the past few years, it is clear that our operational performance has remained consistent and resilient, positioning us well for the next phase of growth. With this strong foundation in place, our profitable growth strategy has been focused on expanding and existing market channels, enhancing our manufacturing capabilities, and opening new addressable markets. To achieve this growth, we have strategically employed both debt and equity financing, all while maintaining a healthy balance sheet. I'm pleased to report that our acquisitions of LMI and Tyman have met all of these objectives. Looking ahead, we are entering the next stage of our evolution. Our overarching goal of continual profitable growth remains unchanged with a heightened focus on strengthening the operational foundation of our newly scaled organization. As part of this evolution, we are restructuring our operating segments. Going forward, our structure will be centered around our core competencies in material sciences and manufacturing rather than the previous geographic and market-based segments. We believe this shift will create the best opportunities to leverage synergies, capitalize on our strengths, and fuel growth both in our current markets and in new adjacent areas. I'm excited to announce that going forward, we will operate the business in three new segments, hardware solutions, extruded solutions, and custom solutions. We created these segments with a global reach in mind and they are structured to foster the sharing of best practices and designed to maximize synergy opportunities, positioning us for future growth in both existing and new markets. We are enthusiastic about our new organizational structure and the immense potential it holds for our customers, shareholders, and all of my teammates at Quanex. To provide further insights into our evolution, we've scheduled an Investor and Analyst Day at the NYSE on February 6th, 2025. During this event, we will introduce the leaders of each segment and offer a deeper look at our company, product lines, and strategy. Turning to our fiscal fourth quarter, market conditions and order demand came in very near to our expectations. Volumes remained consistent with our anticipated return to a more traditional seasonality pattern. Despite Fed rate cuts and greater certainty around the U.S. presidential election, we are still operating in an environment with weakened consumer confidence amid high interest rates and inflationary concerns. Global geopolitical uncertainties and higher energy costs continue to impact markets worldwide. With that being said, we expect sluggish demand throughout the holiday and winter months but remain optimistic for a rebound in new build and R&R activity in the second half of our fiscal 2025, as consumer confidence improves. From an operational standpoint, the Quanex team continues to perform exceptionally well with a focus on the integration of Tyman and the pursuit of ongoing capacity and margin optimization projects. I'm pleased to report that the Tyman integration is ahead of schedule and the expected synergies are being realized as planned. We will provide more detailed updates on synergy progress as the year unfolds. On the margin and capacity optimization front, one project completed during the quarter was the sale of our Richmond, Kentucky Vinyl extrusion facility. As mentioned over the past few years, the vinyl window extrusion market in North America has faced challenges due to excess capacity. We successfully sold the Richmond, Kentucky facility during the fourth quarter for a gain of approximately $5 million, while simultaneously improving the cost structure of the remaining North American vinyl extrusion business. We also sold our North American vinyl fencing business as a part of this sale, which generated revenue of approximately $13 million in fiscal 2024 at a very low margin. In closing, I want to thank the team at Quanex for their continued hard work and performance, and I'd also like to welcome all of our new teammates from Tyman. We've executed well on our strategy and we're very excited for the next steps in creating value for all of our stakeholders. I will now turn the call back over to Scott, who will discuss our financial results in more detail.
Scott Zuehlke: Thanks, George. On a consolidated basis, we reported net sales of $493.2 million during the fourth quarter of 2024, which represents an increase of approximately 67% compared to $295.5 million for the same period of 2023. We reported net sales of $1.28 billion for the full year, which represents an increase of approximately 13% compared to $1.13 billion for 2023. The increases were primarily driven by the contribution from the Tyman acquisition that closed on August 1, 2024. Excluding the contribution from Tyman, net sales would have declined by 2.3% for the fourth quarter of 2024 and 5% for the full year, largely due to lower volume. We reported a net loss of $13.9 million or $0.30 per diluted share during the three months ended, October 31, 2024, compared to a net income of $27.4 million or $0.83 per diluted share during the three months ended, October 31, 2023. For the full year 2024, we reported net income of $33.1 million or $0.90 per diluted share compared to $82.5 million or $2.50 per diluted share for the full year 2023. On an adjusted basis, net income was $28.6 million or $0.61 per diluted share during the fourth quarter of 2024 compared to $31.2 million or $0.95 per diluted share during the fourth quarter of 2023. Adjusted net income was $80.4 million or $2.19 per diluted share for fiscal 2024 compared to $90.9 million or $2.75 per diluted share for fiscal 2023. The adjustments being made to EPS are primarily for transaction and advisory fees, amortization of the step-up for purchase price adjustments on inventory and AR related to the Tyman acquisition. Expenses related to a plant closure, loss on damage to a manufacturing facility caused by weather, pension settlement expense, and foreign currency translation impacts. On an adjusted basis, EBITDA for the quarter increased by 59.6% to $81.1 million compared to $50.8 million during the same period of last year. For the full year 2024, adjusted EBITDA increased by 14.3% to $182.4 million, which is a new record for Quanex, compared to $159.6 million in 2023. This equates to adjusted EBITDA margin expansion of approximately 20 basis points year-over-year. The increase in adjusted earnings for the three months and 12 months ended, October 31, 2024, was mostly attributable to the contribution from the Tyman acquisition. However, the increase in adjusted earnings was also due in part to lower cost of sales, including labor related to lower volumes and deflation in the price of raw materials. Now for results by operating segment. We generated net sales of $172 million in our North American Fenestration segment for the fourth quarter of 2024, a decrease of 4.7% compared to $180.5 million in the fourth quarter of 2023. We estimate that volumes in this segment declined by approximately 6% year-over-year with pricing up approximately 1% versus Q4 of 2023. For the full year, we reported net sales of $650 million in our North American Fenestration segment, a decrease of 2.6% compared to $667.5 million in 2023. The decrease was mainly due to softer market demand and lower pricing. We estimate the volumes in this segment declined by approximately 3% year-over-year in 2024 with pricing up slightly versus 2023. Adjusted EBITDA was $30.1 million in this segment for the fourth quarter or 1.5% higher than prior year, which equates to margin expansion of approximately 110 basis points year-over-year. Adjusted EBITDA was $93.9 million in this segment for the full year, or essentially flat versus 2023, but equates to margin expansion of approximately 50 basis points year-over-year. This group has done a good job of controlling costs despite lower volumes. Our European Fenestration segment generated revenue of $65.1 million in the fourth quarter, which represents an increase of 1.4% compared to $64.2 million in the fourth quarter of 2023. We estimate that volumes were essentially flat year-over-year in this segment for the quarter with pricing down approximately 1% and positive foreign exchange translation impact of about 3%. For the full year, we reported net sales of $230.7 million in our European Fenestration segment, a decrease of 7.9% compared to $250.8 million in 2023. For the full year, we estimate that volumes declined by approximately 7% year-over-year in this segment with pricing down by approximately 2% and positive foreign-exchange translation impact of about 1%. Adjusted EBITDA declined slightly to $16.5 million in this segment for the quarter versus $16.7 million during the same period last year. For the full year, adjusted EBITDA came in at $54.8 million in this segment, which represented a decline of 8.5%, but note that margin was essentially flat. We reported net sales of $52.8 million in our North American Cabinet Components segment during the quarter, which represented growth of 1.7% compared to prior year. We estimate that volumes declined by approximately 3% and price increased by approximately 5% in this segment for the quarter. For the full year, we reported net sales of $198.4 million, which represents a decline of 7.9% year-over-year. We estimate that volumes declined by approximately 6% with price declining approximately 2% for 2024 versus 2023. The price movements for both periods were largely related to index pricing tied to hardwood costs. Adjusted EBITDA was $3.3 million and $9.3 million in this segment for the quarter and full year, respectively. The time lag related to our hardwood index pricing mechanism in this segment negatively impacted profitability in 2024 after helping us on that front in 2023. The Tyman business reported net sales of $203.4 million for the fourth quarter of 2024. Since we didn't own this business in the fourth quarter of 2023, there is no comp in the earnings release. However, revenue was down approximately 11% for this segment in the fourth quarter of 2024 compared to the fourth quarter of 2023, mostly due to soft market demand in all segments, which is consistent with what we saw in the legacy Quanex business, but also due in part to the conscious decision to exit low margin business in China. Adjusted EBITDA came in at $34.5 million for the quarter, which yielded meaningful margin expansion compared to Q4 of 2023, driven by cost synergies related to the closing of Tyman's legacy home office in London, exiting low margin business in China, and more efficient operation in North America. [Technical Difficulty] Operator, can you put yourself on mute? Moving on to cash flow and the balance sheet. Cash provided by operating activities was $5.5 million for the fourth quarter of 2024, which compares to $44.5 million for the fourth quarter of 2023. Cash provided by operating activities for the full year 2024 was $88.8 million, which compares to $147.1 million for the full year 2023. We maintain focus on managing working capital throughout the year, but the fourth quarter was impacted by layering in the Tyman acquisition as the legacy Tyman business is very much a make-to-stock business, and the legacy Quanex business is very much make-to-order. We generated a free cash flow of $51.7 million for the full year in 2024, a decrease of about 53% compared to 2023. The main driver for the lower free cash flow in 2024 is the one-time cash costs related to the Tyman acquisition. If you adjust for these one-time cash costs, free cash flow would have been about $89 million for the full year of 2024 on a normalized basis. As a reminder, we borrowed $770 million, $500 million for Term Loan A, and $270 million on the revolver to acquire Tyman on August 1st, 2024. Since that time, we were able to repay $53.75 million in debt during the fourth quarter of 2024. As of October 31, 2024, the leverage ratio for our quarterly debt compliance was 2.3 times. The debt covenant leverage ratio calculation is defined in Amendment No. 1 to our Second Amended and Restated Credit Agreement, which was filed with the SEC on June 12, 2024. This debt covenant leverage ratio excludes real estate leases that are considered finance leases under U.S. GAAP and is calculated on a pro forma basis to include last 12 months’ adjusted EBITDA from the Tyman acquisition. Also includes credit for $30 million of EBITDA for the synergy target related to the acquisition and cash-only from domestic subsidiaries. The debt covenant leverage ratio would be 2.1 times if calculated using the full cash and cash equivalent amount on the balance sheet as of October 31, 2024. The 2.1 leverage ratio is in line with the leverage ratio referenced in the presentation we published on our website when we announced the deal on April 22, 2024. As George mentioned, we will host an Investor and Analyst Day at the NYSE on Thursday, February 6th, 2025. At that time, we plan to unveil the new Quanex, which will include details specific to each operating segment along with initial guidance for fiscal 2025. In addition, we will disclose more about our profitable growth strategy going forward. Since guidance for 2025 and details related to the new operating segments won't be rolled out until early February, please use the following cadence for the first quarter of 2025 versus the first quarter of 2024. As a reminder, due to the typical seasonality of our business, our first quarter is usually the weakest quarter of the year, but we do expect a meaningful uptick in demand in the second half of 2025 as consumer confidence improves and pent-up demand starts to unwind. With that said, on a consolidated basis, we expect revenue to be up 50% to 52% in the first quarter of 2025 compared to the first quarter of 2024, driven by the contribution from the Tyman assets. However, consistent with recent market dynamics, we do expect volumes to be down in the first quarter of 2025 compared to the first quarter of 2024. On a consolidated basis, adjusted EBITDA margin is expected to be up about 25 basis points in the first quarter of 2025 compared to the first quarter of 2024. In addition, a tax rate of 23.5% is reasonable with interest expense of approximately $15 million in the first quarter of 2025. Operator, we are now ready to take questions.
Operator: [Operator Instructions] Our first question will come from the line of Steven Ramsey from Thompson Research Group. Your line is open.
Steven Ramsey: Hi, good morning. I wanted to think high-level -- wanted to think high-level a bit given the market remains pretty stagnant and seems pretty well-known out there. I guess, my first question would then be on portfolio adjustments. Now that you've got Tyman in and synergies are coming in at a nice clip, how are you assessing the portfolio broadly? And basically, are you considering any moves to divest anything that maybe is less core now that you have this bigger foundation?
George Wilson: Thanks for the question, Steven. The answer is, yes, we are evaluating the entire portfolio. I think the scale of the acquisition gives us an opportunity to do that. The approach that we'll take is we're going to obviously look at this from a customer perspective and see what pieces of the portfolio add value to our customers and can help them grow. Secondly, then we'll look at what that means to potential growth as well as the profitability. I think we will use it as an opportunity to potentially divest non-core assets that do not add value to our customer, that can drive margin improvement through just subtraction of the revenue. So nothing too specific at this point, but I think it is fair to say that that will be a priority in some of our views as we go forward here in 2025.
Steven Ramsey: Okay. That's helpful. Also wanted to think about the EU segment, you've had two consecutive years with margin in the 23%, 24% range, very strong. Do you view this as kind of the normalized level to operate from or even build-off of or would you say there are some -- this is maybe a peak level for current dynamics that's helping that?
George Wilson: Yeah. No, it's a great question. I'm extremely proud of what our teams have done over the past years on margin improvement and really operational performance. I think as we re-segmented these businesses into these new segments, we were trying to accomplish a few things. One was to really address -- most of our businesses take a global approach and by separating or segmenting them the way we did in the legacy Tyman business -- excuse me, legacy Quanex business, we kind of split them up geographically, which I think made it difficult or limited the opportunities to maybe get some sharing of best practices or synergies internally. So although we did a good job, I think it potentially put a little governor on those opportunities. I think taking more of a global approach and for example, our spacer business or some of the new businesses from Tyman and looking at it from a global perspective, it gives us the opportunity to set these things up, share best practices across the globe. So my anticipation, Steven, long answer here is that I don't think we're tapped out on margin improvement opportunities driven by internal projects. I think that there's still some runway. And that was part of the reason that we've established these segments the way we did. One, focused on what best delivers for our customer; and then, two, how can we continue to tap into the opportunities to improve margin organically. That was the basis around our restructure.
Scott Zuehlke: The only thing I'll add there, Steven, as markets improve around the world and volumes tick up, at some point, you're going to get operating efficiency gains that will help margin longer-term as well.
George Wilson: So I think you can see we're pretty excited about the potential that these new segments can drive, more to come, but we're pretty optimistic about that.
Steven Ramsey: No, that's great perspective. Maybe something to quickly ask there, Scott, that you alluded to better volumes and the margin benefits from that. Can you maybe talk to the kind of historic incremental margins from legacy Quanex and given as you put these two businesses together, where could incremental margins get better as volume starts to improve?
Scott Zuehlke: That's a very difficult question to ask only because you would have to go product line by product line to see fixed cost versus variable costs and where we could -- where the operating leverage is better, obviously is -- as volume ticks up in a fixed -- more fixed cost, you're going to reap the rewards better than you would a variable cost.
George Wilson: I think if you look at the way we've segmented in extruded solutions segment, for example, the nature of extrusion process alone kind of lends itself is very much a volume-driven type of business. So I think you would see the most volume benefits in that type of segment and that type of product process as markets improved.
Steven Ramsey: That's a great color. I'll leave it there. Thanks.
Scott Zuehlke: Thanks.
George Wilson: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Adam Thalhimer from Thompson Davis. Your line is open.
Adam Thalhimer: Hey, good morning, guys. Congrats on a record year.
George Wilson: Thank you.
Adam Thalhimer: I wanted to ask first about the Tyman synergies. How comfortable are you getting to the $30 million of synergies? And do you still think it takes two years to capture those?
George Wilson: Great question. So as we've as we've embarked on this, I think you're always apprehensive about giving a number when you go into such a transformative type of deal. But as we progressed and now that we've launched the new segments, I think our comfort level around the stated $30 million is very strong and high. We have very strong confidence in achieving those levels. I think as the teams move through, the focus has started. We focused on the consolidation of the corporate offices, which we've talked about already and that's gone according to plan and maybe a little quicker than anticipated. Now that the divisions are starting to operate within the new segments, I think, we're very pleased at the results that we're seeing these newly created teams generate and the amount of opportunities that they're creating helps to offset any potential downsides and unknowns that you don't know. And then finally, I think we become even more convinced that longer-term commercial types of growth synergies that are created from this combination will be there. So again, another long answer to your question, but I think we're extremely confident in meeting and hopefully beating the guidance that we've given.
Adam Thalhimer: Okay. And, George, you talked about sluggish demand over the holiday season and in the winter, I'm curious, what -- is that a continuation of the trends you've seen in fiscal year '24 or are you contemplating incremental weakness?
George Wilson: I'll start off and then I can let Scott to add any color too. One, I think what we've said, this is not an abnormal type of thing that we see every year in terms of softness in our fiscal Q1. I think in certain markets, for example, the cabinet market that we serve, I think you see our customers using it as an opportunity to adjust their inventory levels and using the holidays as an opportunity to reconcile volumes before the build. So I think that has had a little bit of an incremental impact. I think it's a continuation on -- for the most part, it's a continuation on what we've seen this year just and being emphasized on our normal seasonality pattern. It's nothing that we've not anticipated. And I think it's playing out exactly as what we've modeled and anticipated previous. Scott?
Scott Zuehlke: Yeah. I mean, I would agree with everything George just said and we are expecting volumes to be down year-over-year in 1Q '25 versus '24, but not by a significant amount. And we do expect markets to tick up starting in the spring selling season, once we feel like consumer confidence improved.
George Wilson: I'm not sure we've talked to one customer at this point that doesn't have that same, I think that there is a fairly strong optimism that the back half of the year will see it. Again, the market indicators and the need for housing as the Fed continues or it's anticipated that they'll continue to cut rates as inflation starts flattening a little bit and hopefully turning the other way. I think we will see consumer confidence grow and the market, both R&R and new-build, there is pent-up demand that's ready to be released. And I think we're hearing that optimism from almost every customer that we talk to.
Adam Thalhimer: Okay. Thanks, guys. See you in New York.
Scott Zuehlke: Thank you.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Reuben Garner from Benchmark. Your line is open.
Reuben Garner: Thanks. Good morning, guys, and congrats on the strong…
George Wilson: Good morning, Reuben.
Reuben Garner: Close to your fiscal year.
George Wilson: Thank you.
Reuben Garner: To start, tariffs has been a big question of late. I think last go around, you guys might have saw some benefit in your cabinets business from kind of reshoring opportunities. With the timing acquisition coming along, can you just talk about any exposure that they have to imports and whether or not maybe any competitors that they have would be at risk, I guess, from bringing products in overseas?
George Wilson: I think as we look at the Tyman organization, we spend a lot of time talking about the risks from tariffs as well as the opportunities. The Tyman team has done a phenomenal job of building a supply chain organization that is built to capitalize on those opportunities as well as provide opportunities to source locally. Should there become any sort of retaliatory or any sort of tariff war. So I think we feel very good about the steps that the Tyman team had taken and feel that we've got a pretty good balance on to really address situations, should it become a trade war or should any of the tariffs provide opportunities. I think we're ready to capitalize on that and are well protected for any of the negatives. Obviously, Reuben, you know our business well. And I think from the cabinet side of the business, specifically in the North America, tariffs have tended to help that market and I don't see anything changing that -- should that -- so that would be a potential opportunity for our business, should there be any additional tariffs on wood type of products.
Reuben Garner: Got it. And then from just a big-picture pricing perspective for you guys. Scott, I know you gave some pieces about this quarter and this year and you had a couple of things working against you. Like when we think about the full year going forward and I know you're not ready to give guidance yet, but would you expect at this point that pricing would be like neutral to up even or is there more kind of headwinds on the way?
Scott Zuehlke: I mean, there is potential for pricing to be neutral to up. I mean, the way we usually model is we don't bake in a lot of expectation that pricing is going to go up or down. It's more driven by volume expectations. But it's really good, it's going to depend on what's going on with the macro and raw material by raw material.
George Wilson: Yeah, I think this goes right back to your first question. We're being pretty cautious on any sort of pricing guidance because the impact of tariffs, anything there. What that does to any sort of inflationary pressure and the impacts that potentially have on labor wages and anything there. There is so many moving pieces. I think we're being very cautious in terms of our guidance around price. I think over the past few years, I think we -- and it's proven out in the legacy Quanex numbers that where we have been able to get price, we've done it. We're not abusing our ability and I think will be a focus on being a fair supplier in the world, but it will be dictated by the input prices of what we see.
Reuben Garner: Got it, congrats again. Thanks guys, have a Merry Christmas and Happy New Year.
George Wilson: Merry Christmas to you as well.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Julio Romero from Sidoti & Company. Your line is open.
Julio Romero: Thanks. Hey, good morning. I wanted to ask about the macro a little bit here. Some of your peers have called out affordability constraints. You talked about waning consumer confidence and kind of mortgage rates kind of persisting higher. Can you guys just talk about what you're seeing on that front and maybe help us think about why your viewpoint might be a little nuanced compared to some peers?
George Wilson: Yeah. I think we see the same things and in talking to our customers, I think the R&R market has been hit hard, especially in certain segments like for us, our cabinet business, which tends to be much more of a discretionary item than a window or door. With that being said, as interest rates start dropping, I think -- and potentially the overall affordability of housing, if the price flattens and the interest rates drop, that type of movement does tend to spur on R&R and then people buying new homes will do more of the discretionary projects, the kitchens or the bath remodels so on. So, yes, I think to answer your question, Julio, we are seeing it. I think that there are -- it has been sluggish in all of 2024. I think that that's built into our forecast and why we're saying that we think volumes will be sluggish over the next few months. But I think most of the macro indicators are when that affordability comes down a little bit and the interest rates drop, it will spur on some pretty pent-up demand. It -- we see it and we're pretty confident in it.
Julio Romero: Got it. That's very helpful there. And then can you maybe just compare where consumer confidence is right now in North America versus Europe maybe compared to like three months ago?
George Wilson: I think what we've started to see is that there is a little more confidence coming back in certain parts of Europe. I think we've seen signs that the UK, which led the downfall, to be honest, they started seeing a slowdown much earlier than North America did. I think we've seen maybe slight signs of improvement there. The hard part there is that, that will always be tempered by some of the geopolitical things going on in Eastern Europe with Russia and Ukraine. If for whatever reason that conflict were to come to an end, I think you're going to see probably the European markets improve fundamentally faster. But again, I quantify -- or I just qualify that based on there are things happening over there that are out of normal market controls. I think that the European markets are a little further along in potential recovery. But North America, the market is so large and the consumer mentality here is a little quicker to take risks and be a little more open with spending. So any sign of improvement, I think could spur on a faster recovery in North America than you would in Europe.
Julio Romero: Very helpful there. And maybe turning to your re-segmentation. You've obviously been very thoughtful about the new segment structure. Can you maybe peel back the onion a little bit about the strategic rationale for the three new segments? And then secondly, in the prepared remarks, I believe you called out maximizing synergy ops and positioning for growth as two key items there. Are those two kinds of the North Star for the new segments and the new leaders?
George Wilson: So as I peel this back a little bit, one, we do try to -- our strategy all along is trying to let people know, yes, we serve the window and door markets and yes, we serve the cabinet markets and they're a big part of what we do, but we're not -- we make not one window or door or not one finished cabinet. That's not who we are. We are a manufacturing company that has a broad set of core competencies. And so our segmentation is really based on that. We don't even want our internal organization to sit here and look and view ourselves as a window and door company or cabinet company. It limits our potential to go after new markets, new systems, new opportunities. So I think for us, segmenting in this way, one, I think it opens our development teams to think much bigger than we currently are. Two, it gives us the opportunity to really build off of what is the strength of Quanex and that's our manufacturing capabilities. And I think we've proved that over the last five to seven to eight years, that we're pretty good operators. So it gives us an opportunity to capitalize on that, which when done that way, then it fuels the inorganic opportunities much faster. So I think that's the way we approach this, Julio, is really, one, what's going to drive the fastest growth, and then two, how do we use that -- those new segments to really optimize what we do. And I feel really good about the new segments. Each one of these then combines some of the legacy Tyman and some of our legacy Quanex. So when you've got people from both organizations working together, you're able to see and create new things rather than being so blindfolded into what you've always done. So each of these segments include a little bit from both organizations and we think that was really important. We're -- and we're extremely excited about the potential that that's going to drive.
Julio Romero: Thanks for all the color, George. And if I could sneak one more in maybe for Scott here is, I appreciate the first quarter kind of outlook of interest expense of $15 million. Is that kind of a fair quarterly run rate to maybe assume for now for fiscal '25? And then are you kind of assuming any debt pay down at this point for fiscal '25?
Scott Zuehlke: We absolutely assume we are going to pay down debt throughout the year. I mean, that's a clear priority for us. So $15 million for the first quarter, trending down a little bit thereafter and we'll give more detail on the -- at the Investor Day. But I think $15 million will be the high watermark for interest expense this year.
Julio Romero: Excellent. Thanks very much, guys. I'll pass it on.
George Wilson: Thank you.
Operator: Thank you. And with that, I would now like to turn it back over to George Wilson for any closing remarks.
George Wilson: Thanks, everyone, for joining. We're extremely excited about the future of Quanex and look forward to providing more details about the combined company at our Investor and Analyst Day at the NYSE on February 6th, 2025. I'd like to wish you all a safe and happy holiday. Thank you.
Operator: Thank you for participating in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.